Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Dundee Precious Metals Third Quarter 2021 Earnings Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker for today, Jennifer Cameron. Please go ahead.
Jennifer Cameron: Thank you and good morning. I am Jennifer Cameron, Director, Investor Relations and I’d like to welcome you to our third quarter conference call. Joining me today are David Rae, President and CEO; Hume Kyle, Chief Financial Officer; and Michael Dorfman, Executive Vice President, Corporate Development. After the close of yesterday -- of business yesterday, we released our third quarter result and I hope you had an opportunity to review our material. All forward-looking information provided during this call is subject to the forward-looking qualifications, which is detailed in our news release and incorporated in full for the purposes of today’s call. Certain financial measures we referred to during this call are not measures recognized under IFRS and are referred to as non-GAAP measures. These measures have no standardized meaning under IFRS and may not be comparable to similar measures presented by other company. The definitions established and calculations performed by DPM are based on management’s reasonable judgment and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the Non-GAAP Financial Measures section of our most recent MD&A for reconciliations of these non-GAAP measures. Please note that unless otherwise stated, operational and financial information communicated during this call are related to continuing operations and have generally been rounded. References to 2020 pertain to the comparable period in 2020, and references to averages are based on midpoints of our outlook or guidance. I will now turn the call over to David Rae.
David Rae: Thanks, Jennifer. Good morning and thank you all for joining us. As you have seen from our news release circulated last night, I’m pleased to report that DPM delivered another strong quarter, with gold production and cost performance driving our financial results. Highlights from our results include, production of approximately 72,000 ounces of gold and 8.3 million pounds of copper; a continued focus on cost performance at all operations, which realized an all-in sustaining costs for the quarter of $701 per gold ounce; strong financial results including free cash flow of $69 million and adjusted net earnings of $53 million for the quarter; and continued growth in our financial strength exiting the quarter with cash and short-term investments of $270 million. With the strength of our results year-to-date, I am pleased to say that we are on track to meet our guidance, the metals production and all-in sustaining cost. Turning now to the highlights for our operations, I’ll start with Chelopech. The Chelopech continued -- we continue to deliver steady results producing 38,434 ounces of gold and 8.3 million pounds of copper at an all-in sustaining cost of $752 per ounce. We continue to focus on extending the mine life through in mine and brownfields exploration programs, and just this week at Sveta Petka, the contract has been signed for a one year extension to the exploration license, allowing us to move forward with commercial discovery phase work. We anticipate commencing the drill program in the first quarter of next year with 5,000 meters of drilling planned for Q1. During the quarter significant effort was dedicated to testing conceptual targets within the Brevene exploration license, as well as the completion of scout drilling at several near mine prospects, including Vozdol, Petrovden, and Sharlo Dere. With mineral resources that now extend to 2029 and updated mineral resource base and increased in mine and brownfield exploration drilling, we believe there’s strong potential to continue our track record of mine life extension at Chelopech. Ada Tepe has continued to deliver impressive performance introducing approximately, sorry, producing approximately 33,000 ounces of gold in the third quarter at an all-in sustaining cost of $648 per ounce. We are continuing our exploration efforts around Ada Tepe with 23,000 meters of drilling planned for the year, including 9,000 meters of additional resource and conceptual target extension on the mine concession, as well as advancing the Chatal Kaya and other prospects on regional licenses. During the quarter exploration activities at Ada Tepe focus on an extensive target delineation campaign that income Surnak, Skalak, Synap and Kuklitsa, as well as regional licenses, including Chiirite and a newly granted Krumovitsa exploration license. And for those of you who don’t know about Krumovitsa, it’s an exploration license immediately around our concession of just over 18,000 active. Turning to Tsumeb, the smelter produced -- processed approximately 50,100 tons of complex concentrate during the third quarter, which was below our expectations as a result of a water leak in the off gas system of the Ausmelt. Despite lower than expected throughput, cash cost performance was strong with the cost of complex concentrates smelted up $339 to -- $393 per ton. Reflecting the unplanned maintenance, we now expect complex concentrates smelter to be approximately 195,000 tones to 200,000 tons, down from our previous guidance for the year of 220,000 tons. Moving to our outlook and growth, in terms of future growth, we made a significant addition to our project development pipeline this quarter, with the acquisition of the high quality Loma Larga project in Ecuador. We believe this project fits extremely well with our core strengths and our proven track record, as an environmentally and socially responsible mining company. Based on the feasibility study completed by the previous owner, in its first five years of operation, Loma Larga has the potential to produce 200,000 ounces of gold, adding meaningful low cost production growth to our portfolio. Following closing of the acquisition at the end of July, we have been focused on integration activities, stakeholder engagement, reviewing the technical studies and permitting schedule, as well as progressing discussions in respect of an investor protection agreement with the government. We are targeting completion of a revised feasibility study for Loma Larga and receipts of major environmental permits -- to permit towards the end of 2022, which we expect to be followed by finalization of the exploitation agreement with the government and receive construction permit. We are also developing a strategy for the exploration concessions we hold in Ecuador. An exploration program consisting of geophysical surveys, prospecting, mapping and sampling will be completed in the coming months and will be used to determine precise drilling targets and to plan further exploration activities. Turning to Timok in Serbia, we completed the prefeasibility study earlier this year, outlining potential production of approximately 80,000 gold ounces per year at a low cost production averaged for first six years and subsequently initiated a feasibility study. As we advanced the feasibility study, we have several initiatives underway that are directed at reducing the initial capital estimate, which is currently estimated to be $211 million and to optimize overall economics. In parallel to that feasibility study, we’re also evaluating the upside potential from the sulphide portion of the orebody and completion of the feasibility study is on track at this point to the second quarter of 2022. In closing, to wrap up on the quarter, our strong gold production profile and significant free cash flow generation, combined with our operating track record and unique skills and innovation and building strong partnerships with local communities, positions us well to continue delivering value for all of our stakeholders. We are committed to deploying our capital in a disciplined manner. As we’ve demonstrated with the addition of a high quality gold project to our development pipeline in the quarter. We also continue to pay a substan -- a sustainable quarterly dividends and more recently used our NCIB to repurchase 1.6 million shares in the quarter. We firmly believe that DPM strong fundamentals continue to represent the compelling value opportunity for investors. And with that, I’ll turn the call over to Hume for a review of our financial results, following which we’ll open the call to questions.
Hume Kyle: Thanks, David, and good morning, everybody. I’ll begin by reviewing our financial results. I’ll touch on financial position, capital allocation and risk management, and then I’ll provide some commentary around the 2021 guidance. For the quarter, we continued to generate solid financial results with adjusted net earnings of $52 million or $0.28 per share, and adjusted EBITDA of $86 million. These results were comparable to 2020, reflecting the impact of lower treatment charges at Chelopech and higher realize copper prices, partially offset by lower volumes of metal sold and higher operating expenses in Bulgaria. For the first nine months, adjusted net earnings were $151 million or $0.82 per share, compared with $144 million or $0.80 in 2020 and adjusted EBITDA was $253 million, up $9 million. These increases were primarily attributable to higher realized metal prices, lower share-based compensation and lower treatment charges at Chelopech, which were partially offset by lower throughput at Tsumeb, primarily related to the 2021 maintenance shut that was taken in Q1, lower volumes of metal sold and higher operating expenses. For the first nine months of 2021, reported net earnings attributable to common shareholders were $139 million. This included a $21 million gain in respect of our sale of MineRP, as well as mark-to-market losses on our Sabina special warrants and a deferred income tax adjustment related to unrealized losses in respect of Sabina shares recognized in other comprehensive income and loss, none of which are reflective of our underlying operating performance. We also continue to generate strong cash flow with cash flow from operations before working capital during the quarter and the first nine months of 2021 $81 million and $229 million, respectively. This was up $8 million and $31 million compared to -- comparable periods in 2020. Free cash flow for the quarter and first nine months was $69 million and $187 million, respectively, up $7 million and $15 million compared to 2020. This year-over-year increases in cash flow reflect the same factors that impacted earnings, as well as the benefit associated with the last delivery on the Ada Tepe’s prepaid forward gold sales arrangement being made in December 2020, partially offset by higher cash outlays for sustaining capital, higher income tax paid, which corresponds to the higher earnings for the period. Turning to our consolidated cost measures, we continued to focus on cost performance at all of our operations. For the quarter, we reported an all-in sustaining cost of $701, which was up 10% compared to 2020, due primarily to higher operating expenses, higher cash outlays for sustaining capital expenditures and lower volumes of gold sold, which was partially offset by higher byproduct credits and lower treatment charges at Chelopech. Year-to-date, all-in sustaining costs were $621 per ounce. This is below the -- or I guess below the low end of the annual guidance that we provide and represents a decrease of approximately 5% compared to 2020. This was due primarily to higher byproduct credits, which were partially offset by higher operating costs in Bulgaria. At Tsumeb, cash cost per ton in the quarter was $393 per ton, down $14 compared to 2020, due primarily to lower currency operating costs -- local currency operating costs and higher asset byproduct credits, partially offset by a stronger ZAR relative to the U.S. dollar. For the first nine months, cost per ton were $492, up $123 compared to 2020, reflecting the fixed cost nature of the facility and the high impact, I am sorry, the impact of lower volumes smelted in 2021, as a result of the maintenance shutdown that was taken during the first quarter, combined with a stronger ZAR relative to the U.S. dollar, partially offset by lower currency -- lower local currency operating costs. Turning to our capital expenditures, sustaining capital expenditures incurred during the quarter and the first nine months were $11 million and $40 million, respectively. This compared to $11 million and $29 million in the corresponding periods in 2020. For the first nine months of 2021, sorry, the increase in the first nine months was due primarily to plant maintenance shutdown at Tsumeb and the accelerated grade control drilling at Ada Tepe that was initiated in September 2020. Growth capital expenditures incurred during the quarter and the first nine months of 2021 were $4 million and $10 million, respectively, and this compared with $1 million and $5 million in the corresponding periods of 2020, primarily due to the costs being incurred to progress Timok and Loma Larga. During the quarter, our financial position continued to strengthen with available liquidity of $420 million at the end of September. This was comprised of $270 million of cash and short-term investments. Our liquid portfolio of securities valued at approximately $49 million together with undrawn capacity under our revolving credit facility of $150 million. As we’ve noted in prior quarters, we’re committed to adhering to a discipline capital allocation framework, which balances financial strength, reinvestment into our business and returning capital to our shareholders. During the quarter, we spent approximately $12 million to buy back 1.6 million shares under our normal course issuer bid at an average price of $7.65 per share, a price that compares favorably to street targets and underlying estimates of net asset value. We also continue to pay a regular sustainable quarterly dividend of $0.03 or $6 million, the most recent of which was declared yesterday in respect of our fourth quarter. From a risk management perspective, all of our key financial metrics and underlying financial exposures are well within our established tolerance levels. For 2021, we’ve hedged approximately 77% of Tsumeb’s projected operating costs, providing a weighted average exchange rate between $15.68 and $18.71. And approximately 90% of our copper byproducts price exposure has been hedge, which forms a part of our all-in sustaining costs at weighted average fixed price of $3.84 per pound. For 2022, we’ve hedge approximately 50% of Tsumeb’s projected operating costs at a weighted average exchange rate between $15 and $16.45. These hedges are directed at managing key cost metrics, but the primary objective of reducing variability and supporting the achievement of guidance. Looking forward over the balance of the year and full year guidance, metal production all-in sustaining costs are all on track, or I should say, and the smelter cash costs they’re all on track to meet 2021 guidance. With the recent spike in electricity prices in Bulgaria and the rest of Europe, where the price of power is more than doubled, we have increased our mine cash cost per ton by roughly 10%. At Chelopech, we increased guidance to be $46 to $48, up from $42 to $45 and at Ada Tepe we increase our guidance to be $52 to $55, up from $46 to $50. At Tsumeb we have adjusted throughput guidance to 195,000 tons to 200,000 tons down from our previous guidance of 200,000 tons to 220,000 tons, reflecting unplanned maintenance downtime during the third quarter. In terms of capital spend, we reduced our guidance slightly, principally to reflect some expenditures moving into 2022. As a result, sustaining capital expenditures are expected to be between $52 million and $66 million, and growth capital expenditures between $17 million and $24 million. Our longer term operating outlook covering 2022 and 2023 remains unchanged and together with the details or further details in respect to 2021, this can be found in our Three Year Outlook section of the MD&A. In closing, our operations are performing well, our cash flow generation remains strong and we’re continuing to build our financial strength to support our growth ambitions and commitment to deliver value to stakeholders by optimizing and realizing the potential value of existing assets, as well as new assets such as Loma Larga. With a strong balance sheet, we are well-positioned to fund our existing growth opportunities and to continue returning capital to shareholders through our sustainable quarterly dividend and from time-to-time through optimistic share repurchases under our normal course issuer bid. With that, I’ll turn the call back to the Operator.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Terence Oslan of Sue & Associates [ph]. Your line is open.
Unidentified Analyst: Good morning. Good morning. Thank you for review. Terry Oslan [ph]. Hume, just you talked about the guidance, three-year guidance that you filed this year, last year. We should be looking at it and I have, but there are some revisions you expect the growth capital for instance as you revise it downwards, and two, the energy issues, as you illustrated. In that context as well, can you remind me what the energy sources are and how persistent this may be going into next spring? Thank you.
David Rae: Go ahead, Hume.
Hume Kyle: Yeah. So -- yeah. Sure. So, I mean, power is obviously a fairly significant component to our operations. So in the case of Bulgaria, Chelopech power probably represents, it probably represented somewhere in the area of 10%, 12% of our aggregate costs and for Ada Tepe was probably high-single digits. I would say currently at the prices that we’re seeing in 2021, it’s probably way more in the 15% range for Chelopech and maybe 10%, 11% or so for Ada Tepe. Historically, power has been anywhere between US$55 and US$65 per megawatt hour. Today, the price is probably around US$160. This is something that’s been experienced not just in Bulgaria, but the rest of Europe, host of factors, obviously, but certainly supply and demand related, as well as carbon tax. In Bulgaria and the rest of Europe, they have instituted and are continuing to institute subsidies, government subsidies, both for business and personal consumption. That applies to us as well in Bulgaria. At the present time, we have a 30% subsidy. I can’t say for sure how long that will be in place, but it is being proposed to go into 2022. I wouldn’t expect these high rates to persist. So I would view it to be transient, but I can’t be sure exactly how long it’s going to take to unwind. But, yeah, like at this stage, I would say, overall, for 2021, we’re probably looking at an 8% to 10% increase in costs relative to what we expected coming into the year and the predominant factor for that is power. And then I’d acknowledge that there are some increases that we’re seeing on direct materials as well less so and it’s not across the Board, it’s just in certain areas. So, as I say, overall, 8% to 10% for 2021. 2022 difficult to predict at this stage. But we are in the process of finalizing our budget coming into the exit of the year. And at this stage, probably, roughly speaking, I would expect it would be reasonable to think something in the order of 5% over 2021 levels would be a reasonable number to work with at this stage with, the potential for it to go lower, but also the potential for it to go higher if current prices prevail.
Unidentified Analyst: Thank you, Hume, for that summary. Just on the Three Year Outlook, what you actually expect some revisions on that, not only cost, that’s fine. I take that on the capital side, will be there revision for 2022?
Hume Kyle: Well, yeah, we’ll take a good look at our Three Year Outlook, in sort of the December, January timeframe, and I would expect that we would table any revisions at the time that we release our Q4 results in February.
Unidentified Analyst: Okay. Just coming back to Ecuador, the -- how much land do you actually have now in terms of, I think the land you probably inherited everything, all the land at Loma Larga or the company had it, I envy. So what are the land costs? I think there’s a payment for the land costs coming up, if I remember correctly from envy times? And two is, I’m surprised that you’re doing very basic geological work and geophysical work, I think, a lot of things are done by your predecessor on the land that you’re inheriting? Thank you.
David Rae: Sorry, I don’t have the hectors to hand. Yes, there are a number of properties that were part of the acquisition from INV. Loma Larga is very advanced. The work that we’re doing there is extensional or geotechnical for purposes and condemnation for purposes of making sure that the placement of the facilities is appropriate. The sort of second asset that we’re looking at quite closely is Tierras Coloradas, which is just close to the Peruvian border. And then there’s been some drilling, but insufficient in our view, and there’s been those sort of an opportunity to look to do a lot more identification that we feel that that’s something that we should do at the same time as we’re looking at drilling. For the other properties, we considering relinquishing those, so the question is, first making sure that there’s nothing there of interest before we do that? And yes, you’re right, that there are payments at different points or completion of an amount of work at a certain cost for those properties by certain dates and we very much have that in mind as to whether it makes sense for us to continue with those assets and take it forward. I mean, last on that one, there are some places where it’s difficult to get access to properties. So quite likely, we’ll just move on and focus on the other properties. But at this point, it’s Loma Larga and Tierras Coloradas are our main focus is.
Unidentified Analyst: Thank you for that, David. David, the -- one of the things that you indicated in the press release that Investor Protection Agreement will be underway, hopefully, completed this year, obviously, market is very cautious about what’s happening in Peru and Chile and there is a lot of concerns about the changes in the policy and the strategy opted by the government physically as well. The Ecuador obviously had taken a different slant. I mean, they are now the shining spot in the policy and the strategical fiscal environment of the mining sector. Am I correct that there will be no surprises in that with respect to Investor Protection Agreement that you will have particular in government plus the permits? Thank you.
David Rae: Couple of different things here. So, Hume, did you want to talk to the IPA and I’ll come back on the permits?
Unidentified Analyst: Thank you.
Hume Kyle: Sure. Yeah. On the IPA, I would say, based on what we’re seeing so far is, very strong support from the government and the applicable ministries. And our -- we have, as you know, we actually may not know, we actually did have the IPA. It was approved in sort of graph form by the ministry that kicks off a process to now negotiate final terms. We’re planning to meet with the government this month to kick off that process. And I would expect that we would complete the negotiation and be in position to execute or sign the IPA, probably, sometime in Q1. So let’s just say for planning purposes, by the end of Q1, we would expect to have the IPA in place. And I haven’t seen anything today or heard of anything that would make me concerned that we won’t be able to achieve an IPA with the government that is reasonable and in line with our expectations.
David Rae: Terry and with -- looking at the permitting, obviously, we took over the asset on the 26th of July, there’s been a lot of effort on first looking at the integration and what we need to do to assess the current strengths and weaknesses and set up the organization as part of DPM going forward. So that’s been a lot of the activity. The other things that we’ve done is look very closely at what we’re doing in terms of permitting and laying out the actual activities that are required to take us to an exploitation permit, which would commence the construction of the asset. So we actually had a number of different workshops and things which have been sort of laying out the different activities to make sure that we can do as much in parallel as possible and consolidate that timeline. Our goal at this point is that by the end of next year, what we have is we have the permitting completed, that’s the permitting done federally and also locally, which would be roads and powerlines, for instance. Federally would be the plant and environmental and water and this type of thing. So it’s one of those sort of things that as we’re going along. We’ll be able to give you greater and greater insight into how we view that all going. But at this point, we are doing what we can to keep the pressure on having all of this permitting done in the exploitation permit handed by the end of next year or early into 2020. So that’s our goal. What I would say is that the government has been very good in terms of being clear about their expectations. The President issued a Decree 151, just about a week after we took over the asset. And what that was intended to do was to have the different government organizations that are involved in the various elements of permitting, look at what they’re doing to be able to make sure that they have a streamlined process for taking applications and taking them to a conclusion, such that, they can accelerate the foreign direct investment and reduce the delays that are associated with the government agencies. And -- because you mentioned that there’s a lot of mining history in other areas, but Ecuador is sort of coming into this. There’s a lot to do in terms of tidying up, disconnects on regulations, working closely with the authorities, it’s -- we need to develop the some of the ideas on how we can progress these things effectively. So we working closely where we can with the government agencies and we’ve had a lot of support and cooperation to see what we can do to make sure that we streamline this process. But the ultimate goal, as I mentioned, to the end of next year is to have the different permits in place to be able to finalize the exploitation review.
Unidentified Analyst: Great summary, David. Thank you, and thank you, Hume. Much appreciated. Thank you.
Operator: Thank you. [Operator Instructions] No further question at this time. I would like to turn the call over to Jennifer Cameron for closing remarks.
Jennifer Cameron: Thank you, everyone, for joining us today. I know it’s a -- oh, I actually started, operator, I see that there’s another person is trying to Q&A.
Operator: All right. Thank you. Our next question comes from the line of Dalton Baretto of Canaccord. Your line is open.
Dalton Baretto: Thanks. Good morning, guys. I thought I’d squeeze one in because no one else is in the queue and I apologize if you’ve answered this, because I joined the call late. David, can you talk a little bit about what you’re looking to refresh in the Loma Larga studies, specifically what aspects of the of the project you’re looking to maybe change, resize, rescope, that sort of thing?
David Rae: Sure. So the energy supply to the site and the operating rate, for instance, at the moment is at 3,000 tons a day. There’s certainly potential for us to do more than 3,000 tons a day. So that will be one. We’re also looking at some of the elements of the operation. So, just as a very easy one, and the moment, Loma Larga has conventional flotation where we haven’t built conventional flotation at any of our facilities since 2011. We use something called a stage flotation reactor technology, which reduces the footprint and dramatically reduces the energy consumption, which of course, is the type of thing that we want to pay attention to when we’re looking at our ESG a future and performance particularly on greenhouse gases. So it will be items like that, that potentially moving crashing, underground mobile crushing underground conveying to surface electric fleet visit, there’s a whole raft of things that I can talk to you about. But the bottomline is that, we’re looking at maximizing the value of the asset. Now, the last element of that is going to be that, we are actually doing some extensional drilling as part of the campaign, which is sort of set to be underway any day. So that will be in addition to the extension, there’s also going to be geotech and condemnation, as I mentioned earlier. So those are the things. I don’t know if that helps, if you had any more specific questions.
Dalton Baretto: No. That’s helpful. Thank you. And then, as you look ahead to the project and the construction phase and maybe from Timok into this question as well, it’s a pretty inflationary environment out there and a lot of your peers who are building stuff right now have reported some pretty substantial increases. How are you thinking about that? I mean, are you moving to lock anything in right now? Are you going to wait and see how this plays out? Just how you are thinking about that on both projects?
David Rae: Yeah. Great question. It’s a little early to lock those in, given where we are with the projects. It’s certainly something that we conscious on. So with Chelopech, Ada Tepe at the moment, we’re looking at, what can we do in terms of our contracting, for instance, for current operations, that may help us to mitigate some of these pressures. But I think at the moment, particularly with energy, we recognize this, the potential for that to be a shorter term element and we need to be careful about what we do. But that -- it will translate through to everything. So we see transportation costs going up, we see a fundamental of any consumable that we have is energy and therefore energy prices being up is going to drive to into those. So we were conscious of this for both our current operations and also for future projects. But it’s just a little early at this point, to be looking at mitigating steps in terms of the capital outlay for projects.
Dalton Baretto: Okay. But as you -- when you put out the feasibility on Loma Larga next year, presumably that we’ll capture quotes as of now, right?
David Rae: It will capture quotes, as of, they’ve got to be within a certain timeline of the issuing of the feasibility. So, yes, there will be current.
Dalton Baretto: Okay. And then maybe just one last one on the permitting side at Loma Larga, in the past, you mentioned water and kind of the ecosystem being critical aspects, as well as the social side of things. How much progress you’re making on that side and are there any red flags that jumped out to you at this point in time or any areas of sensitivity, if you will?
David Rae: Yeah. So, the question was really about permitting, but of course, the other area where we’ve been putting in a lot of time and energy is understanding our stakeholders and doing what we can to really get a meaningful engagement with them and that will result in a better estimation of work concerns might be, but we fully expecting that to be biodiversity and water. So we’ll obviously be looking at our impact on any water streams that will be certainly something that we’ll be reviewing and seeing what we can do. And likely that will initiate water treatment early on, earlier than would have otherwise been anticipated. But at this point little earlier to get into a little bit more detail about, but water is a big thing in the whole of South America, of course. So, it’s no different in Ecuador. But we’re in an area which at this point has sensitivity to that and quite appropriately so. And those engagements will ultimately give us a better indication of what we’ll be able to do with the project to be able to satisfy those constraints.
Dalton Baretto: Perfect. That’s all for me guys. Thank you.
David Rae: Thank you.
Operator: Thank you. [Operator Instructions] No further question at this time. Jennifer, you can proceed.
Jennifer Cameron: Thank you all for joining us and we -- if there are any follow up questions, please feel free to reach out and we look forward to speaking to you in the coming weeks. Take care.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect. Have a great day.